Operator: Good morning, ladies and gentlemen and welcome to Advanced Drainage Systems Fourth Quarter of Fiscal Year 2025 Results Conference Call. My name is Tamika, and I am your operator for today's call. At this time, all participants are in a listen-only mode. Later will conduct a question-and-answer session. [Operator Instructions] I would now like to turn the presentation over to your host for today's call, Michael Higgins, Vice President of Investor Relations and Corporate Strategy. Please go ahead, sir.
Michael Higgins: Thank you. Good morning, everyone. I'm here with Scott Barbour, our President and CEO. And Scott Cottrill, our CFO; and Craig Taylor, Executive Vice President, ADS and President of Infiltrator. I would also like to remind you that we will discuss forward-looking statements. Actual results may differ materially from those forward-looking statements because of various factors, including those discussed in our press release and risk factors identified in our Form 10-K filed with the SEC. While we may update forward-looking statements in the future, we disclaim any obligation to do so. You should not place undue reliance on these forward-looking statements, all which speak only as of today. Lastly, a press release we issued this morning is posted on the Investor Relations section of our website. A copy of the release has also been included in an 8-K submitted to the SEC. We will make a replay of this conference call available via webcast on the company website. With that, I'll now turn call over to Scott Barbour.
Scott Barbour: Thank you, Mike, and good morning, everyone. Thank you all for joining us on today's call. We concluded fiscal 2025 with net sales of $2.9 billion, an increase of 1% over the prior year. Importantly, domestic construction market sales increased 3% as we continue to drive above-market performance through our material conversion strategy in the stormwater and on-site wastewater market. We saw strong growth in places like Florida with double-digit growth in pipe, Allied products and Infiltrator products. And in Texas, with double-digit growth in Infiltrator products as well as growth in pipe and the nonresidential markets. From a product standpoint, water quality products increased double digits as did the Cultec retention/detention chambers that we acquired in 2022. The tank and active treatment product in Infiltrator each grew double digits also. And Craig Taylor will talk about those here in a few minutes. Moving to profitability. This year's 30.6% adjusted EBITDA margin marks the second most profitable year in the company's history, down modestly off peak in a year when we faced headwinds in pricing and material costs in addition to a challenging economic backdrop that impacted demand. The resiliency demonstrated by this year's profitability is partially due to our strategy to grow the more profitable segments, Infiltrator and Allied products being a higher mix of overall sales. Organic sales in these segments increased 5% and 3%, respectively, in the on-site wastewater and Allied products now represent a collective 44% of revenue. The evolution of ADS' product mix is one of the topics we intended to discuss at our Investor Day originally planned for this upcoming June. We have a lot of exciting things to highlight about our future at both Infiltrator and ADS around growth, innovation and the customer experience. However, right now, the industry is highly dynamic, and as we wait to see how the construction economy unfolds with the current economic uncertainty. While the current dynamics play out, I didn't think that the audience is going to be the most receptive to a major Investor Day talking about how things look over the next three years. So I think that there will be a better opportunity for that type of discussion later in the year, when we have a much better picture of what the three year outlook will look like. Therefore, we are going to push the Investor Day and we'll be in touch with the new day that will be sometime later this year. Now I want to turn to Slide 5, which highlights this journey that ADS has been over the past 10 years. But as you move from left to right, from FY 2016 to FY 2025, we have strategically diversified the product, the geography and the end market mix to become a higher margin, more profitable business. We focused on driving growth in our higher-margin Allied products, which grew at a 10% CAGR over this time period, outpacing the core pipe business. We deepened and broadened our exposure to the residential market through both our pipe business and Infiltrator products. Our exposure to the residential land development has driven an 18% CAGR over this time period, driven by a focus on building relationships with large national homebuilders and pursuing approvals and engineering acceptance in some of the fastest-growing residential areas, primarily the Southeast. We deploy incremental resources around that over this time period, and we think that paid off very well for the company. This focus on residential was complemented by the acquisition of Infiltrator, which increased our residential exposure to 36% of the overall company, again, accelerating our overall growth and enhancing the margin profile of the company. This diversification is incredibly important to our go-forward strategy. It increases the profit resilience of the company that supports ongoing margin expansion, and it enables us to pursue projects across nearly all facets of the water management we participate in. We have evolved from simply a pipe manufacturing company in FY 2016 to a broader water management solutions provider and I think our profitability is reflected in that, and we're really pleased with this diversification, growth and the leadership we have in each one of these segments. Now I'm going to move to Slide 6. This diversification has expanded our total market opportunity by about $10 billion over this time frame. We have a very nice addressable market. And then we have a long runway to continue executing the conversion strategy across these markets and all of our product lines. In the stormwater market, where ADS is the clear market leader, plastic pipe is about 40% of that $5.5 billion market. In the Allied Products, again, where we have market-leading product lines and participation, we're probably around 10% of that. And in the on-site wastewater, Infiltrators share is about one-third of the market. So with each of those categories, we feel we have a long way to go. It will drive that through our tried and true getting approvals even good teams in the field and driving this through our distribution. There are also some secular tailwinds that are going to drive these markets. We've talked about these in the past, truly the underbuilt U.S. water infrastructure, this increasing frequency and intensity of large-scale storm events and residential underbuilt that is highlighted many times when we talk with you. We've mentioned these studies in the past, the one we really like is from the American Society of Civil Engineers. They did a 2025 infrastructure report card and water infrastructure has a greater team which simply says the existing infrastructure is in poor to fair condition and mostly below current standards. This is a good trend for us. I mean, this will continue to pace investment in the water management infrastructure across a broad array of products and geographies. So over the long-term, we will continue to have these secular growth tailwinds. We'll drive that growth through a good current portfolio of offerings, continued new product introductions, acquisitions that will drive that conversion and share of wallet that we -- or the entire opportunity on these different projects. And I'll turn to the next page, and this is how we drive that share of wallet. This is really what we think of as our value proposition. And it starts at the top of this chart, we're the best-in-class portfolio of water management products. We are the only company that could deliver complete water management solutions on a national or a North American scale that are safer, more sustainable, faster to install and at a lower installation cost. It is a superior line of products we have at the top of this page. And for many years, we have run this market share model. It's a proven go-to-market share market strategy of approvals, acceptance, coverage win rate is supported by these 300 professionals in the field, which are the envy of our industry in terms of field sales capability and technical know-how in the field. So we're very proud of that product line and our ability to kind of sell those product lines with our distributors in the field. But I think there's more to it than that. And it's that bottom tier this chart is that balance sheet. As we've improved the profitability and cash flow profile of the company, we can reinvest at an appropriate pace with the right returns in new capacity in their critical geographies, new products, new capabilities for engineering, innovation and increasingly the investments around customer service and design tools. We -- over these last several years, we have built some industry-leading design tools where customers can design around our products, select our products. We make these available to them in many different ways, digitally, and it is really a superior service for our asset of our company that I think we don't talk about enough. In addition, the kind of leading service we've always had is our fleet. We deliver over 70% of the products we sell on the ADS side, and we've refreshed that fleet and modernize and then have really a great set of assets out there working for our customers. I mentioned just modernizing our customer experience. We've invested in that heavily over the last year. We needed to do that. Our delivery performance is now over 90%, and these tools were rolling out and giving differentiated market-leading information and availability information for our customers. I think you all know, we opened our engineering and technology center about nine months ago, it is by far the most advanced stormwater facility in the world, which enables us to develop and launch new products faster while also working on our manufacturing processes and safety and efficiency, we really have everything we need to do around the stormwater business contained in this facility from an engineering and product management standpoint. And we are already in the first nine months has some great examples of accelerated in the market products and materials that we benefited from this new investment that we have. So when you stack all three elements of this chart together, scale, the best-in-class products, the go-to-market strategy, our ability to reinvest. I think it's really clear to me what hands you would rather play. It is that company that we have now to move into FY 2026 versus the company that we had in FY 2016. And I would argue versus any company that we're competing against on a daily basis. So I'm very proud of the team for the performance delivered in a really challenging year. We got a lot of things done in spite of a very difficult demand environment and a difficult pricing and material -- materials market. We continue to make progress in safety. We passed a milestone this year in safety performance that we're very proud of. So lots of good things to talk about. And we'll kind of gather those along with our three year plan to show at the Investor Day that we'll do a little bit later this year. Scott Cottrill is going to give you an outlook on FY 2016 in a minute. And we feel confident in our ability to achieve above market growth in our core domestic construction markets and maintain attractive profitability even if it is still a bit of a challenging demand environment. First, I'm going to turn this over to Craig Taylor, the President of our Infiltrator business to review their fiscal 2025 performance. We'll talk a little bit about the great year they had there.
Craig Taylor: Thanks, Scott. I'm happy to be here today. Fiscal 2025 was another strong year at Infiltrator. We reported $560 million in sales, an increase of 15% over prior year, including $46 million in a record sales. On an organic basis, sales increased 5% driven by double-digit growth in both septic tanks and advanced treatment products. Tank sales increased 12%, driven by a material conversion and new product introduction. Just like ADS' material conversion strategy, Infiltrator plastic tanks are driving market conversion from the traditional concrete tank. In fiscal year 2025, we launched two new products to address market needs and to provide contractors with additional installation flexibility. Organic advanced treatment sales increased 33% compared to prior year, primarily driven by market growth as well as the introduction of the ECOPOD-NX. This product is the next generation of advanced wastewater treatment technology designed to meet new regulations that require higher levels of nitrogen reduction to protect watersheds and the environment. Adjusted gross margins increased 50 basis points to 53.6%. This includes the impact of the Orenco acquisition. Organically, we expanded adjusted gross margin by 250 basis points, primarily driven by favorable pricing, manufacturing efficiencies and material costs. Infiltrator's profitability today demonstrates the benefit from capital investments made in machinery and equipment over the last six years, most significantly, the highly automated advanced manufacturing facility opened in 2020. Since opening, Infiltrator's profitability has improved by 1,100 basis points. When the market slowed years ago, we were able to utilize the facility while we took older equipment offline for refurbishment. As we ramped back up, we achieved a 15% improvement in productivity and efficiency. In addition, our business continues to be very innovative. New products we have introduced in the past three years account for over 20% of our revenue. As we look at Orenco, we see an opportunity to grow revenue and improve the processes and efficiency in our manufacturing. We are targeting margin improvement of 1,000 basis points over the next three to five years and we are excited about the additional breadth this acquisition brings to our product line. The acquisition also gives us access to new applications. For example, the Primo's product assist homeowners converting through centralized wastewater systems by making the process lower cost and less disruptive. In addition, Orenco's advanced treatment product increases our exposure to the commercial systems where the Infiltrator products have a strong foothold in residential systems. All in, we are very proud of this year's accomplishments and excited about the future growth at Infiltrator as we continue to drive material conversion and capitalize on growth in advanced treatment market. Now I'll turn the call over to stock to Scott Cottrill.
Scott Cottrill: Thanks, Craig. In the fourth quarter, net sales decreased 6% overall as demand was impacted by higher interest rates, economic uncertainty and unfavorable weather conditions. Recall, last year, we experienced favorable weather conditions that allowed for an early start to the spring selling season in both construction and agriculture. From a timing perspective, construction, activity and agriculture accelerated by about six weeks this year compared to last year. Importantly, price costs remain in line with expectations and manufacturing and transportation costs were both favorable in the period. On Slide 10, we present our free cash flow and liquidity. As most of you know, one of the strategic advantages of the business is the consistency and quality of our cash flow generation. Even in a choppy and uncertain macro environment, we generated $581 million of cash from operations during fiscal 2025. The strong cash generation of the business gives us the flexibility to invest in production, capacity and innovation to grow our position in the highly attractive stormwater and on-site wastewater markets. That's an envious position to be in and one we intend to optimize to continue driving long-term shareholder value. Capital spending increased 15% to $212 million in fiscal 2025 as we continue to invest in improving customer service through investments in technology and better order management processes, accelerating innovation in new products and new technologies that add to our stormwater and wastewater solutions packages. Increasing our production capacity in certain regions and certain products that have superior demand, profitability and growth characteristics, debottlenecking and expanding our recycling operations such as our recycling facility in Cordele, Georgia as well as our material science and blending capabilities; and finally, increasing the safety, productivity and efficiency of our manufacturing network. In addition, we upgraded our transportation assets, including refreshing the fleet and implementing the latest telematics and safety technology to improve superior delivery and customer service. Turning to capital allocation. Our priorities remain unchanged and rooted in our commitment to drive growth and create long-term shareholder value. First and foremost, we will continue to invest strategically in the core business for all of the reasons I just mentioned. A close second, the pursuit of acquisitions to grow our product offering and leadership in the stormwater and on-site wastewater markets. That said, we recently announced the acquisition of River Valley Pipe, a manufacturer of corrugated plastic pipe products serving agricultural market in the Midwest. We will continue to focus on opportunities to expand our product offering and capacity. Our balance sheet and free cash flow profile gives us the ability to move decisively when the right opportunities emerge without needing to dilute shareholders or take on excessive leverage. We remain opportunistic in evaluating M&A that enhances our portfolio and aligns with our long-term strategy. We've also maintained a balance sheet to capital deployment -- or I'm sorry, a balanced approach to capital deployment returning $121 million in fiscal 2025 to shareholders through dividends and share repurchases. We have deliberately built and maintained a fortress balance sheet that provides us with the flexibility to navigate cycles as well as promptly act on opportunities. We closed the year with $1.1 billion in liquidity and a net leverage of 1.1 times. In addition, today, we announced a 13% increase in our annual dividend to $0.72 per share. Moving on to Slide 11. We present our fiscal 2026 guidance ranges. Based on our order book, backlog and market trends, we expect revenue to be in the range of $2.825 billion and $2.975 billion and adjusted EBITDA to be in the range of $850 million to $910 million. These ranges result in an adjusted EBITDA margin of 30.1% to 30.6%, down 50 basis points to flat compared to this year's 30.6% margin. It is important to note that we do not expect any material impact from tariffs. Today's guidance reflects the end market outlook on Slide 12. We do not expect the nonresidential or residential end markets to accelerate as both are under pressure from higher interest rates and economic uncertainty. We expect a nonresidential end market to be flat to down low single digits, and the residential market to be down low to mid-single digits. The infrastructure market continues to benefit from IIJA funds and we expect that market to grow low single digits next year. Finally, both the agriculture and international end markets are expected to be down double digits in the year. Finally, the fiscal 2026 guidance at the midpoint includes the following key assumptions: for revenue, volume up low digits and pricing down low single digits. For profitability, price/cost should be neutral for the year as we expect lower material costs year-over-year to offset the impact of pricing I just noted. Manufacturing costs will be unfavorable due to fixed cost absorption, primarily in the first quarter. The higher costs are due to the lower production volume over the winter months due to the slower demand experienced in Q4 and as well as expected in fiscal 2026. Transportation costs are expected to be favorable year-over-year due to improved efficiency and route planning and SG&A costs are expected to be 14% of revenue for the year. We will remain focused on executing our long-term strategy to drive consistent long-term growth, margin expansion and free cash flow generation in the large and attractive stormwater and on-site wastewater markets, the significant conversion opportunity. With that, I will open the line for questions.
Operator: [Operator Instructions]. Your first question is from the line of Mike Halloran with Baird.
Mike Halloran: First, Scott, I'd like to clarify the comment you just made there on the price cost side of things and the pricing side of things. Is pricing -- how is pricing tracking sequentially? Have you seen any incremental pressure embedded in that pricing comment, are there any mix components to what that pricing looks like I certainly heard that you expect to be price/cost neutral as we work through the year because of those dynamics. Just want to understand what's happening on the pricing side of things.
Scott Cottrill: Yes. And Michael, so largely basically sequentially level, as we've talked about since Q2 of this past year. So most of what you see in the comment related to price being down low single digits is relative to -- it doesn't lap the pricing impact until Q2 of this fiscal year. So most of that relates to just the comment that we'll see continued unfavorability especially in Q1 as we work through the year. But then sequentially throughout the year relatively flat on price.
Mike Halloran: Okay. That makes sense. So you're basically saying first quarter is where the pressure point is and then kind of static year-over-year once you lap that comp. Okay. That helps. And then the demand side of the equation, modestly positive volumes. I mean it seems like you're embedding some sort of share gain potential within the context of that based on the end market commentary that you have on Slide 12. Maybe just talk about where you are expecting the share gains to come in and what are the catalysts for that on an in-store level by products, end markets, however you want to go after that?
Scott Cottrill: So Mike, this is Scott B. Yes, there are share gains through conversion from traditional materials to plastic pipe. As there usually are in our guidance there. Those are primarily the HP or polypropylene products and primarily in the kind of what I would call the larger diameter. And we've been gaining share there in the comment, I mean, in the discussion, we mentioned the residential segment where we have clearly gained share and continue to gain share there through our sales efforts, the superiority of our value proposition for those -- that type of development or that type of project, kind of that early land development. And yes, we see that market can have different levels of growth and uncertainty, but we've been growing pretty steadily through that and started from a low point.
Operator: Your next question is from the line of Matthew Bouley with Barclays.
Matthew Bouley: Good morning, everyone. Thank you for taking the questions. Just wanted to ask first about the cadence for the year, thinking about the top line. So a lot of great color there around some of the margin impacts in Q1. But just think about revenue. I mean I guess if I look at the fourth quarter, organic growth was maybe down 3% or so. Is Q1 shaping up similar to Q4, plus or minus? And kind of what I'm getting at is what's the implication to year-over-year growth as you think about the second half of the year within your guide? Thank you.
Scott Cottrill: Yes. I want to be careful to get too much, Matt into the quarters. But I will highlight, we do talk about 1H and 2H. And typically, the business will see 55% to 60% of the revenue in the first half of the year and 40% to 45%, obviously, in the second half. We expect to see that same dynamic this year. I think in the first quarter on a year-over-year basis, obviously, there is a little bit of upside opportunity given that some of that pull ahead that we saw last year that we mentioned. So a year-over-year comp. That's a little bit easier in the first quarter, but expect 55% to 60% of the revenue in the first half, consistent with what we normally generate and drive.
Scott Barbour: You've got to see real impact in the first quarter.
Matthew Bouley: Okay. Got it. Great. That's helpful. Thanks for that guys. And then I wanted to maybe just step back, the Investor Day. I just wanted to ask a little bit more about the, I guess, the postponement there. Because I certainly hear you around the uncertain cycle. But obviously, you have a lot of great sort of non-cycle topics to point to as you went through in your prepared remarks. And you obviously just guided to 2026. So presumably, you have a starting point to think about 3-year guide. So I guess what I'm asking is, are you just seeing the end market volatility to such a degree that you sort of lost the comfort, I guess, around putting out a longer-term outlook? Or, yes, I'm just trying to understand how these current market conditions are giving you that sort of pause there? Thank you.
Scott Barbour: This is Scott Barbour. Good question. I think it comes down to kind of two things, Matt. One was, just getting to FY 2026 kind of nailed down, yes, there was a lot going on over the last three months to try to nail down that. And then every time we got into what kind of assumptions to make on market growth and these other things to really nail down a three year plan, we couldn't. We just didn't feel comfortable nailing down a three year plan underneath those kind of conditions. I mean I know you all will hold me highly accountable to that plan, and I didn't want to have to give you such a big range, it didn't make sense. So that's why we postponed it. You're right. We have a lot of great things to talk about, but that felt like without a really solid economic three year plan in front of you, we wouldn't accomplish what we wanted to accomplish with you. And I didn't want to waste your time on that. So I'd rather give you a really solid plan, take an extra couple of months to get it done, and that was my logic on that.
Operator: Your next question is from Bryan Blair with Oppenheimer.
Bryan Blair: Thanks. Good morning. I want to circle back to order rates. I understand the framework for the full year guide and then appreciate all the moving parts there and how you're contemplating end market dynamics. Just curious what you're seeing on a run rate basis, you mentioned that the orders are positive year-to-date. Just curious how end markets are trending relative to the guidance framework that you have and maybe speak to potential catalysts for risk as we think about the full year progression.
Scott Barbour: Okay. This is Scott B. Order rates are trending positive and definitely support the guidance that we gave in the first half, second half that Scott mentioned a bit earlier. I think what we are really very focused on right now is we've mentioned there was a -- because of seasonality and a favorable weather last year, unfavorable weather this year, there was clearly a shift from our fourth to our first that's going on right now. And we think even if you strip that out, that the market is growing, but we would just like to get through that in April, May, June to really understand that impact. And as you can appreciate, particularly on the Infiltrator side, as the season starts, there's an ordering and how those reorder patterns occur really beginning in the first of June. Craig has got his eye on that very, very, very much, particularly on those core leach field products that we have where we have really great visibility into the market. So we need to get to that point, Bryan, that reorder point to make sure that kind of shifting to seasonality isn't head faking us, before I think we really want to comment deeply about the strength of the market.
Bryan Blair: Okay. Understood. I appreciate that detail. And I guess, perhaps offer a little more of an update on Orenco integration and confirm -- did I hear that the target is 1,000 basis points margin expansion. And then perhaps touch on strategic fit and expected financial contribution of River Valley pipe. Thank you.
Scott Barbour: So Craig, why don't you talk about Orenco? He did, in fact, say that big of a number.
Craig Taylor: Yes. So the margin expansion is on really the growth that I talked about, growing the top line, merging the commercial business together with our business -- and then using our distribution channels and growing the GOP, which is our general on-site product. So we really focused on the growth opportunity there, bringing some of our promise of our manufacturing efficiencies into that operations there is going to help that margin expansion over the next couple of years. So that's a three to five year outlook for that expansion.
Scott Barbour: No, I think the Infiltrator guys are really talented engineering and manufacturing people. And I think they're out there on a rotating basis in Oregon, working through a very good plan. And as Craig said, they've done a lot of, I would say, commercial integration already opened up some new distribution and already kind of starting to see some benefits from those things. And it is an aggressive plan and you did hear it right, but we're really encouraged by this first seven months of ownership with the team out there in Oregon and Craig. And then River Valley. So River Valley, we always wanted to be bigger and more competitive in Illinois and Iowa, River Valley has a couple of facilities, one in each of those states. So this was a chance to gain market share and give us future optionality on our footprint. And honestly, we want to -- when assets like this come up, we want to own them and not have others own them. So I think for those three reasons, River Valley makes a lot of sense for us and we acquired a nice customer list in addition to a nice product line that will be -- sit right alongside ours in those two geographies where we think we definitely over many years, ADS has wanted to be stronger in those two states. And this opportunity came up, and I wasn't going to walk out.
Operator: Your next question is from the line of John Lovallo with UBS.
John Lovallo: Good morning, guys. Thanks for taking my questions. I wanted to go back to just kind of market growth and your forecast for internal growth. It seems like on a blended basis, you're expecting your end markets to be down kind of low single digits. And you're guiding roughly flat sales. If we back out Orenco and River Valley, I mean how much of this is organic sales versus kind of the inorganic portion. I mean I guess the point is it seems like the expectation is for only sort of modest outperformance versus the end markets this year.
Scott Cottrill: Yes, John, it's Scott C here. You're right. I mean, if you look at the end markets, you got to want to weigh the end markets based on about 45% of our business is non-res, 35% is res. So when you look at what we think those end markets are going to be down low to mid-single digits, roughly our guide would say organically at the midpoint, we're going to be flat on the volume side of the house. So again, we think that is still a really great example of conversion and continuing that trend. So that's the way we looked at it and the way we think it's going to play out based on what we know right now.
John Lovallo: Okay. Got you. And then for the 2026 EBITDA margin of 30.3%, I mean it's down roughly 30 basis points year-over-year on sort of flattish sales. I guess a similar question. I mean how much of this decline is organic versus inorganic? And on the organic piece, is that dominantly focused on the first quarter where that price cost is going to be unfavorable?
Scott Cottrill: Yes. I would say right now, you got to remember the absorption impact we talked about that's coming in the first quarter. So roughly, when you look at kind of what we think -- Orenco is going to be about 50 bps dilutive to what we're going to do organically versus about 30 bps what it was in the first in 2025. So I think basically relatively flat year-over-year organically is the way I think about it, with a little bit more dilutive from Orenco having them for the full year at their lower margin profile.
Operator: Your next question is from Garik Shmois with Loop Capital Partners.
Garik Shmois: Hi. Thanks. Just wanted to follow up on the pricing piece, recognizing it's been stable for several quarters, but just with the market expected to again be down, just any additional maybe handholding us to your level of confidence that pricing will remain stable from this point forward in the softer market?
Scott Barbour: Yes. I think that we -- the way we manage this on a very daily basis, and looking at participation, competitor, the nature of the job, the nature of the customer stuff. We've been doing that for the last four quarters in a lot of detail and then trying to find opportunities for pricing advancement. And we like that process. We feel that, that gives us good visibility. It's really on the pipe piece of the business. So it's -- and it's contained to certain geographies. So I think we feel pretty confident that this process we have, the managers we have, looking at that, the data we can look at is going to continue to be a good tool for us to manage that price and participation. And we feel good about both right now. We've always had competitors. We're always going to have competitors, and this is just a daily fact of life.
Scott Cottrill: The other thing I'll add to that is there are examples where we do have pricing that will be increasing, whether it's in certain regions, products or end markets. So it's always a mix, and it's a balance there up. So when we -- you've got the lapping that we already talked about as well, that will impact year-to-year. So we blend all that together to come out with that kind of vision as to what we think it will be on a relatively flat basis. But you got to factor all those pieces in there when you look at it.
Garik Shmois: Okay. That's helpful. And then just a follow-up is just on capital allocation and you're sitting at a pretty comfortable leverage ratio, and you have a slide in the deck that does talk to your capabilities in your balance sheet is quite attractive to accelerate your investments. So is there a scenario here? And I know you've made two acquisitions over the last several quarters, but is there an opportunity for you to ramp that up even further or go larger if the opportunity presents itself?
Scott Cottrill: Yes. I mean our growth algorithm is very compelling at growing above our end markets via the conversion story. The innovation and new products and then put this balance sheet to work through acquisitions to get incremental growth on top of that. We like what we've been able to do over the last 12, 18 months, going all the way back to fiscal 2020 for the Infiltrator acquisition that's been a grand plan not even home run. So we look at that being at 1.1 times levered. We have a lot of opportunity to put this balance sheet to work. And we're actively looking at all options, including the engineering and technology center and innovation and what we can do there with new products. So again, very excited about that long-term shareholder value creation. And acquisitions will definitely be part of that.
Operator: Your next question is from the line of Jeff Hammond with KeyBanc Capital Markets.
Jeffrey Hammond: Hi, good morning, guys.
Scott Cottrill: Hi, Jeff. Good morning.
Jeffrey Hammond: Just -- it sounds like the near-term orders are good, but I'm just wondering if you look a little further out in the pipeline. One, what are you seeing on residential land development trends? And two, just any real-time signs of delays, deferrals on construction projects, just given the tariff noise and uncertainty and higher costs, et cetera.
Scott Barbour: So Scott Barbour here, Jeff. So we're not really impacted by tariffs, very minimal impact for us as a company. We do worry about demand being impacted and construction projects being pushed and pushed and push and pull. We haven't seen a -- over the last 60 days, we didn't see a meaningful bunch of projects coming off the board. And since last week in whatever you want to call the agreement to delay these actions with China by 90 days. We haven't seen a bunch come back on. I think people are a little -- their heads a little bit soared from swiveling and being jerked around so much. So we see it -- what we do see is a fairly consistent pace of orders, pace of quotes that is improved over last year. It's not radically high, but it's not going down either. I mean it's at a very modest pace. And we anticipate that will continue here for the rest of the quarter. But I really don't know what's going to happen in the second half of the year. I mean it's pretty hard to gauge what -- whether in 90 days, these things get resolved, and everything goes back to normal or what's going to happen with interest rates. I mean it's pretty uncertain out there. So we're going to be very conservative in our response to that and are forecasting in our guidance. But I haven't seen anything radical in terms of changing what happens to us over these last days with these different announcements.
Michael Higgins: Yes. I think if you just look at go back to February, right, when we released our earnings and everybody thought the world was going to end because of all of these tariffs it was creating a ton of certainty. And there's been a lot of moves since then. So the move, as Scott referenced, a week or so, 10 days ago with relation to China, everybody is feeling good about themselves. But again, that can change in another 60, 90, 120 days.
Scott Barbour: They open their first thing for that.
Michael Higgins: Yes. So it's just really -- we're going to -- we feel we have a good plan and a very solid strategy and a good position in the market to execute that. And we can't control the end markets, but we can control how well we execute on our strategy of outperformance, growing Allied Products and Infiltrator faster than the pipe business and good price cost discipline.
Jeffrey Hammond: Okay. Great. And then just back on the capital allocation question. So to ask it a different way, maybe. One, a lot of my companies are saying, "Hey, it's tougher to get deals done in this environment, just given all the uncertainty." Wondering if you're seeing any of that. And then I think your answer to the prior question was a lot more towards growth and external growth and just how you're thinking about buybacks because you highlighted a lot of great things about the business and the market doesn't seem to be appreciating it. And we just wanted to see when and if you want to lean in on buybacks.
Scott Cottrill: So again, I think like we talked -- our priorities remains the same. It's reinvesting in the business. You saw we're going to increase CapEx. We did about $212 million in fiscal 2025, we're now projecting $275 million in fiscal 2026. So innovation through the engineering technology center and new products, new technologies, new things. We intend to accelerate through that process. So a lot of really core good opportunities to invest internally. Acquisitions, absolutely. There's things that are always in the funnel, things that we're looking at. And then returning excess cash to our shareholders and that balanced capital allocation approach is absolutely core for us. We did $120 million of that this past year through dividends and buybacks. It's continually something that we look at, and we'll do that. We always look at that based on the outlook for the company, where is our working capital, our cash flow and opportunities and the macroeconomic backdrop that's coming at us in the next six, 12, 18 months. So it's balanced. It's a really good approach. I would say the share buybacks are always something that we think about and look at after we look at the first couple of buckets that I already mentioned. So we'll continue to do that. And again, if opportunities -- if we generate the cash that we think and other opportunities don't avail themselves as we think they might, then yes, you could expect us to be back in the market.
Scott Barbour: I would add one thing to that, which is we are still in a period of relative uncertainty and we want to have a very strong balance sheet if we're ever moving into those kind of times. But I think Scott is right. I mean it's excess cash beyond what we see for our needs and so we obviously see some needs out there with an appropriate level of conservatism.
Operator: Your next question is from the line of Trey Grooms with Stevens.
Trey Grooms: Hey, good morning. Thanks for taking my question. So you guys did a great job in the quarter managing SG&A. How should we be thinking about the SG&A expense in 2026. And maybe if you could talk about some of the levers you're pulling or cost out you can tap if end markets remain subdued or maybe even decrease more than expected from here just kind of given the current level of uncertainty.
Scott Cottrill: Sure, Trey. So obviously, you've got the impact of Orenco coming in there. So that's part one. Craig did a good job highlighting the synergy program and some of the things that we're looking at there. On the internal basis, absolutely things that we're going to continue to invest in as we look to the long-term growth of the company. Obviously, when the top line is not growing and at the midpoint, it's flat year-over-year, that's tough, right? Because there are certain things you need to invest in and so forth. So right now, we've got a bunch of initiatives in place, a lot of things that we're looking at related to outside spend and things that we could do there through our procurement team as well as our team here and manage with our partners. So a lot of actions in flight that we're looking at to keep that manageable, if you will. So that's what I would tell you. Right now, that 14% of revenue is where it rolls up, but a lot of things in flight to mitigate such as we move through the year.
Trey Grooms: Okay. Great. That's helpful. And then you mentioned just kind of geographically, if we could touch on that, strength in Florida, Infiltrator strong in Texas. Any other geographic puts and takes you could talk about as we look at your footprint?
Scott Barbour: So I think, Craig, you were pretty strong in the last year across all geographies. Both companies, both Infiltrator and ADS remain very focused with capacity and headcount, all those kind of things on the Southeast and the Atlantic Coast. And we haven't seen that slow down, Trey. I mean, those continue to be very, very good for us. Texas, we had a very good year with Infiltrator. These new tanks, I think, have done quite well there, and we've strengthened our distribution there. And we continue to believe Texas for the ADS side both pipe and Allied products to be a good opportunity for us to increase our market share and growth. It's not an easy market. It's competitive, but it continues to be a good one. Mike, can you think of any other geographies in particular? I mean, the core geographies have been going along at kind of a...
Michael Higgins: Yes. I would say, Trey, Scott mentioned a handful of states, Florida, Texas, Carolinas, et cetera. We talk a lot about these priority states, and this was a year again where we saw it's a group of 15, 16 states, primarily concentrated in the lower half of the U.S. Again, we saw those states grow faster than the company average. And again, as we've told you guys many times, the states, we all know them, they're growing faster than the rest of the country. Our market shares are lower in those states. So they provide really good runway for growth, and they help offset some of the softness that we've seen in some of our -- in some of our other geographies that tend to be more mature like the Northeast, Ohio, some other places in the Midwest, et cetera. But it's that focus, a geographic focus on where those opportunities are, where we're really seeing kind of continued consistent strength despite end markets that were quite a bit softer this past year.
Operator: Your next question is from Collin Merano with Deutsche Bank.
Collin Verron: Good morning. Thanks for taking my question. I just wanted to dive a little bit more into the manufacturing transportation side. They were quite favorable in the first quarter -- in the fourth quarter here. You noted manufacturing is going to flip to a headwind in the first quarter, but transportation sounds like it's going to continue to be favorable to fiscal year 2026. So any additional color on how we should think about sort of the manufacturing and transportation?
Scott Barbour: Yes, Collin. Sure. This is Scott Barbour. And I would say on logistics, there are several things we're doing primarily on the ADS side that are decreasing our mileage. And I would call this to some planning techniques, some different strategies. We're taking around service to the market without any degradation of delivery performance and some things that Pat and Melissa are doing on making sure we use the right mix of assets in the right place internal versus external. So lots of different programs going on in logistics. We've also refreshed our fleet and brought down the average age of our fleet pretty significantly over the last 18 months. So that's going to decrease our repair and maintenance costs and increase our miles per gallon. So the fleet is being more efficient. So I think that will continue to be a good story through the year. And again, all things we have invested in done differently, intentionally set strategies about. On our manufacturing cost, in the fourth quarter, we benefited not only from better efficiency, but also we had favorable absorption earlier in the calendar year. And you might recall that we -- that either favorable or unfavorable absorption in manufacturing goes on our balance sheet, releases to the P&L about three months later. So as we had to take volume down really beginning December, December, January, February, March because we were in good shape on our inventories and our delivery performance. We had some underabsorption. And that's what's primarily going to come through and hit us in June -- April, May, June. And so now we're working very hard to offset that underabsorption, but kind of that's the favorable and the fourth turning to unfavorable is the timing of that underabsorption of the balance sheet. That said, the Infiltrator guys is operating at very, very good manufacturing cost. Today, as we operate in the pipe plants, very, very good manufacturing costs. The benefits of the investments we've made, the organizations we've built and some of the actions we took back in starting November, December, January, February, we will see this coming through later in this year as those costs are going on to our balance sheet now and we'll release later. So I really think we're on the right track with respect to both the logistics and the manufacturing costs.
Collin Verron: Great. That's really encouraging commentary. And I guess just on the CapEx really quickly. You called out the step-up. Just given the step up, how are you guys thinking about free cash flow generation this year? And then how are you thinking about CapEx sort of in the medium term as you move beyond fiscal year 2026?
Scott Cottrill: Yes. So yes, we'll always look at cash flow from ops. We target anything greater than 65%. It's always kind of the target that we look at. Obviously, working cap as a percent of sales. We're a build-to-stock type of operation. So we target 20% working cap percent of sales. So those are some of the key metrics we keep in front of us to manage the business. So right now, again, at the free cash flow level, 40% plus conversion of EBITDA is what we look at and target. Obviously, we're going to invest in the business. And that's -- we see that as the best use and highest return use of our capital. But we keep all of those kind of key KPIs and guardrails and benchmarks in front of us to make sure that we're managing it correctly. So again, free cash flow, targeting greater than 40% of EBITDA, cash flow from operations targeting greater than 65%.
Scott Barbour: And I think you keep it in those guardrails and then we'll spend capital will be probably in this range $250 million, yes. We have some things coming up through the big year with a couple of big investments in facilities on the ADS side, there will be some investments in Infiltrator coming up. It will balance those as we go through the year, we push and take, but I was looking out three or five years.
Scott Cottrill: Yes. I think the other thing I would highlight there is the fact that to Scott's point, A big part of that $275 million is Infiltrator. So again, when you look at the margins and profitability of that business, where else would you rather have us put those funds to work. So that's really important. When you think of innovation in that engineering and technology center and those products, particularly in the Allied area that we see some of the early wins there as well out of the gate. There's some really exciting things to go in areas that are very profitable for the business, and that's how we're prioritizing. So it's not $275 million of CapEx, it's going to take five years for returns at a low margin, it's basically the other way around. It's spending in the areas that are high profitability and are going to add really greatly to that shareholder value over time.
Scott Barbour: We're -- I think we have all the questions. So we appreciate everyone being on the call today in the questions and engagement. And we'll be on phone with many of you later today, a year with a lot of accomplishments that we just closed. I mentioned several of them, a year with some frustrations and disappointments on a couple of things, we finished pretty strong as we ended. The team never gave up as we closed the year. And as we mentioned, kind of in line with this guidance in April and May so far. So we'll continue to push forward, and we look forward to seeing -- talking to you all or seeing you all in the near future. Thank you.
Operator: This concludes today's call. Thank you for joining. You may now disconnect your lines.